Operator: Good day, ladies and gentlemen, and welcome to the AMERISAFE's Third Quarter Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Ms. Janelle Frost, you may begin. 
G. Frost: Good morning. Welcome to the AMERISAFE's Third Quarter 2012 Investor Call. If you have not received the earnings release, it is available on our website at amerisafe.com. This call is being recorded. A replay of today's call will be available and details on how to access the replay are in the earnings release.
 During this call, we will be making forward-looking statements. These statements are based on current expectations and assumptions that are subject to various risks and uncertainties. Actual results could materially differ because of factors discussed in today's earnings release and comments made during this call, and the Risk Factors section of our Form 10-K, Form 10-Q and other reports and filings with the Securities and Exchange Commission. We do not undertake any duty to update any forward-looking statements.
 I will now turn the call over to Allen Bradley, AMERISAFE's Chairman and CEO. 
C. Bradley: Thanks, Janelle. Good morning, ladies and gentlemen. Thank you for joining our third quarter 2012 earnings call. As usual, I'll make a few remarks and then turn the call over to Geoff and Janelle for more details.
 First of all, I'd like to take this opportunity to express our condolences to the families of those who lost their lives as a result of Hurricane Sandy. We also wish to express our concern and empathy for all who have suffered mightily as a result of this storm. The news stories and related photographs and videos of the impacted areas demonstrate the dramatic destruction caused to the property and to the communities by the storm. We believe that the resilient and determined residents of the Northeast and Mid-Atlantic states will recover and will thrive once more. Those residents will be in our thoughts and prayers as -- they strive to return to normalcy.
 The third quarter was a solid quarter for AMERISAFE. At the same time, the workers' compensation market exhibited continued signs of stress and disruption. We have observed carriers implementing underwriting programs apparently intended to improve underwriting results, thereby demonstrating their reduced appetite for this line of business. Other writers have exited the market totally. As a result, the number of carriers engaging in aggressive competition has contracted noticeably. While we are not in a full-blown hard market, availability of coverage considerations are growing and pricing considerations are diminishing. No place has a change more noticeable than in the high hazard workers' compensation risk. 
 Additionally, residual market volumes are rising materially. According to the NCCI, the most recent quarter year-over-year increase in the residual market premium was a remarkable 89%. This increase is a clear indication that the volunteer workers' compensation market is becoming less flexible in terms of risk selection, as well as pricing. 
 Lost cost trends are rising, but only modestly. The NCCI's latest round of lost cost or rate changes included 20 states with loss cost and rate increases and only 9 states with loss cost or rate decreases. Carriers, however, appear to be focused on increasing rates beyond those required by approved increases in loss cost and rates. 
 Other constituencies have begun to notice these rising costs as well, prompting legislative initiatives to address changes in various state workers' compensations programs. We view all of these changes as an opportunity for AMERISAFE. These opportunities, however, are not without risks. And we recognize it is incumbent upon the management team at AMERISAFE to act accordingly. Now, I'll turn it over to Geoff for more details on our quarter. 
Geoffrey Banta: Thank you, Allen, and good morning, everyone. I'll make a few comments about our operational performance and trends before turning things over to Janelle to present a summary of  our financials. From an operating standpoint, we had a good third quarter, generating a combined ratio of 98.5 versus combined ratios of 103.8 in the second quarter and 102.3 in last year's third quarter. 
 Our third quarter was highlighted by a 17.6% year-over-year increase in gross premiums written, our seventh straight quarter of double-digit year-over-year increases. As has been the case throughout 2012, the third quarter increase was due to 2 factors. First, we showed a 16.6% year-over-year increase in premium from policies written during the quarter, which we refer to as dec sheet premium. Our third quarter dec sheet premium increase was the highest quarterly increase in our public company history. And it occurred during a period of continuing increases in our pricing, clear confirmation that the overall work comp market is hardening. 
 The second factor in the increase in our gross premiums written was a 22.9% increase in payroll audits and related premium adjustments. Regarding payroll audits specifically, we experienced an 18.8% increase over the year ago quarter, and we are frankly surprised that audits have continued to be a top line tailwind for us. We wouldn't have expected this trend, now 8 quarters long, to be as prolonged as it has been. These year-over-year quarterly increases in audits will eventually come to an end. But for now, we're happy to benefit from them. In terms of pricing, our effective loss cost multiplier for voluntary work comp written in the third quarter was 1.66, or 166% of the approved loss cost in the states that use this mechanism for pricing. This pricing represents a year-over-year increase of almost 11% and is the highest level we have seen since we began calculating this metric. Our increased pricing has also contributed to an increase of over 20% in our average renewal premium, which has in turn, led to a substantial increase in our third quarter premium retention from 86.8% in Q3 '11 to a very robust 102% in Q3 '12. In terms of policy retention, we experienced a small year-over-year decrease in the 2012 third quarter to 191.2% from 92.7% in the third quarter of '11.
 Regarding losses, we are seeing some positive signs for accident year '12 including decreasing claim frequency, both payroll and premium-based, decreased reported indemnity claims and increased closure rates. But 2012 is still very green, so we have maintained our net current accident year loss in LAE ratio at 76.5%. 
 We are especially pleased to see our frequency measures decreasing and even more pleased that the decrease is attributed not only to increasing rates, but to increasing exposures and decreasing reported claims as well. Relative to prior years, we experienced stabilizing development in the third quarter relative to prior accident years resulting in a lowering of our overall ultimate loss in LAE estimate for these prior years by $1.6 million in the aggregate. 
 In her comments, Janelle will provide further color around our loss ratio and its components. In terms of severe loss experience, we have not seen the proliferation of large claims in 2012 that we have experienced in prior years. Our largest loss year-to-date totals only $1.98 million. We are pleased with this result. But as Allen and I have said repeatedly, we are in a lumpy and unpredictable business providing coverage to very dangerous occupations. And one never knows when a catastrophic loss might occur.
 For now though, we can say that 2012 has had a good 3 quarters of severe loss experience. As I mentioned earlier, our claims closure rate was up again in the third quarter. All 3 quarters of 2012 have now had increased closure rates. 
 Finally, our paid to incurred ratio decreased for the second straight quarter in 2012, which we view as an indicator of possible case reserve strengthening. 
 Overall, I can say that I'm very pleased with our third quarter operating results. And with that, I'll turn the discussion over to Janelle for details regarding our financial performance. 
G. Frost: Thank you, Geoff. For the third quarter of 2012, AMERISAFE reported net income of $7.1 million, or $0.38 per share, compared to $4.9 million, or $0.26 per share in the third quarter of 2011. Gross premiums written grew 17.6% from the year ago quarter, attributable to $10.2 million of growth in policies written in the quarter, and over $3 million in positive audit and related adjustments. Net premiums earned increased $12.4 million -- 12.4% from the year ago quarter. Our net investment income totaled $6.8 million in the third quarter of 2012, an increase of 4.7% from the third quarter of 2011. The tax equivalent yield on our investment portfolio was 4.5% for both the fourth quarter -- third quarter of 2011 and 2012.
 In total, revenue for the third quarter of 2012 was $80.4 million, up 12% from the year ago period.
 Our current accident year loss ratio for the quarter was 76.5%, compared to 78.2% a year ago. Our incurred loss and loss adjustment expenses totaled $53.9 million for the quarter, which included $1.6 million of favorable prior year development. This compares to loss and loss adjustment expenses of $49.3 million in last year's third quarter, which included $1.1 million of favorable prior year development. In total, our net loss ratio for the third quarter of 2012 was 74.4%, compared to 76.5% for the third quarter of 2011.
 Total underwriting and other expenses increased 0.9% to $16.5 million, compared to $16.4 million in the third quarter of 2011. The 2012 third quarter expense components included $5 million of salaries and benefits, $5.4 million of commissions and $6.1 million of underwriting and other costs. The expense ratio decreased to 22.8% from 25.4% in the same quarter a year ago. In total, our combined ratio was 98.5% for the third quarter versus 102.3% for the same period in 2011.
 Return on average equity for the third quarter of 2012 was 7.7%, compared to 5.7% for the third quarter of 2011. Book value per share at September 30, 2012 was $20.46, an increase of 8.6% from the same period in 2011. Our statutory surplus was $313.5 million at quarter end.
 Finally, we had a strong cash flow from operations at $59.1 million for the first 9 months of 2012, compared to $29.8 million in the same period in 2011. We keep cash at the holding company for our share repurchase program, retiring debt or future acquisitions. To that end, our Board extended our share repurchase program through December 31, 2013. That concludes my prepared remarks on the financials. I'll now turn the discussion back to Allen. 
C. Bradley: Thanks again, Janelle. As I said earlier, AMERISAFE had a solid third quarter. However, that depiction of the quarter is one couched in relative terms, not in absolute ones. While producing a combined ratio of 98.5% for the quarter, or a 99.4% for the year-to-date, may be admirable considering the overall condition of the workers' compensation industry, it is not acceptable to this management team. Our objective is to produce superior returns for our shareholders and we have much work to do to reach this goal. However, I am convinced that the steps taken thus far have advanced AMERISAFE well down the path toward achieving our goal.
 On a personal note, I hold options to purchase 439,000 shares of AMERISAFE. Those options were granted in 2005 in connection with the initial public offering of the Company, and they will expire in November 2015. 
 I recently entered into a 10b5-1 Plan that will permit the exercise of up to 100,000 of those option shares over the next year. I would expect to sell a sufficient number of shares to cover the exercise price of the options and to pay the related tax liability. I presently intend to hold the remaining shares indefinitely. With that, we'll open the call for questions. 
Operator: [Operator Instructions] Our first question comes from Matt Carletti of JMP Securities. 
Matthew Carletti: I just wanted to follow-up on, I guess, both Allen and Geoff's commentary on pricing and, I guess, loss trends. So it sounds like pricing is continuing to go the right way, and that, that's been going on for a while. And it's nice to see that frequency is down, severities are behaving themselves, the closure rates are up. All that smells to me like accident year loss ratio improvement at some point. Can you walk me through kind of your thoughts there, both in terms of, am I thinking about that right and then two, when you might assess that? And do you look to adjust 2012 at some point before the end of the year? Or do you kind of view that as more of setting a new bar for '13 when you enter it? 
C. Bradley: First of all, we are seeing improved -- an improved picture on pricing as we go forward. As Geoff mentioned, we had a 1.66 -- or 166% on loss cost in the third quarter. Just for a point of reference, that's an 11% increase over the 1.50 that we had in the third quarter of 2011. The -- in addition to that, volumes are up and we have launched a number of underwriting initiatives. Some of the underwriting initiatives have dealt with a lot of things, of which obviously, we don't want to discuss for competitive reasons, but one of which, is raising our minimum premium policy to allow us to operate much more efficiently and to be able to process the flow of applications, which by the way, is up 23% for new business applications. Having -- those are the positive sides. The other side is that we were very disappointed in the second quarter when we had to take a small amount of prior year adverse development as it relates to accident years 2010 and 2011. And we're taking a very prudent approach to 2012 accident year. And it appears to be justified at this point that it's prudent. Although -- shall we say, there's no pressure on us to raise that loss ratio at this particular point in time. We want to get through the whole year and see what the whole year looks like before we make an adjustment to any current accident year pick. And we want to be very prudent because it's easy to take it down, it's hard to put it back up. And that would kind of be the approach that we would look to see on it. So I wouldn't want to promise you, yes we're going to look at that or we'll be able to do that in the fourth quarter, we don't know that. But we do intend to do what we can to avoid these prior year adverse developments that we experienced in the second quarter. Geoff? 
Geoffrey Banta: Yes, Matt, and great question, by the way. And I guess I'll add a couple of things. First of all, you're exactly right, frequency is looking good, severities are stable. One of the things, I guess, I didn't mention was the mix of claims is improving, as well. We have more -- we seem to be trending toward more medical only as a percentage of our whole claims inventory, which bodes well for severity, certainly. From my more granular perspective than Allen's, we still have a lot of headwinds out there when it just comes to adjusting a lot of the claims that we find ourselves trying to deal with. Pain management, return to work issues are still strong. It's still tough to work with the Centers for Medicare and Medicaid Services in terms of settling Medicare eligible claims. And a new kind of phenomenon is the use of more modern medical procedures like modern prostheses and spinal cords stimulators and that kind of thing, as a result of modern medical improvements. And that all makes for -- oh, as well as a almost epidemic use of -- increase in use of opioids and prescribing of opioids by our medical establishment in our covered areas. So that always makes me -- well that currently and probably even more so than Allen, makes me nervous about taking down an accident year before we really see how it plays out, given all of these down in the trenches headwinds. 
C. Bradley: And I want you to be sure and note, on this call, that Geoff said he was more conservative than I was. 
Matthew Carletti: Alright, I'll be sure to write that down. Just one more question. Just kind of transitioning to the topic of leverage and capital. I mean the operating leverage has fully been improving as kind of rates have risen and the markets turned. But I think you're a long way from the kind of 1.4, 1.5x that, I think, that you've talked about as being optimal, or what you like to hit at a peak of the market. Is this sort of the ramp where as rates get better and then obviously, you like that business more, you'll write more of it, and you kind of plan to ramp into that leverage as you reach the peak of a market? Or --  and then kind of as you do that, do you think that you have ample capital, more than enough capital? And how do you think about kind of capital management in that regard? 
Geoffrey Banta: We clearly have ample capital, maybe more than enough capital, as one looks at it now. I will tell you that we are seeing many, many, many opportunities to grow our business. We have lots of opportunities to take advantage of the disruption in the marketplace. The thought behind my comment that there are opportunities, but the comments are not without risk, is that we want to make sure we choose those opportunities appropriately and not just act irrationally and impulsively. And we're doing that. I'm fully convinced we're doing that. But one other thing that's critically important to remember, by the way, as you see in the expense ratio this time, and I think you will see going forward, we have the right amount of human resources, of people, of infrastructure to support much larger writings without a corresponding increase in fixed cost. So we've got those things. We've got the capital. Is it a perfect match at this point? I think that the way to think of it is to ramp up. I don't think this market is in a full-blown hard market. I don't think the filed rates, despite the -- the filed rates and loss cost are probably the best they have with the available information, but I think you're going to see a several-year trend of those continuing to ramp up. And you don't want to grow -- we do not want to grow aggressively at a time where we have concerns about the adequacy of the loss cost, okay? We're told from time to time, oh, you need to reduce your rates at this point in time. Our analysis shows that our approach to rates is appropriate, and we intend to stay the course on that. Lower that effective LCM to 1 58 and you won't believe the dollars that'll flow in. 
Operator: [Operator Instructions] Our next question comes from Mark Hughes of SunTrust. 
Mark Hughes: You might have touched on this, I'm sorry, I jumped on a little bit late. But the construction industry, what is your read on the underlying level of activity? And then how do you think about the opportunities there, relative to other end markets? 
Geoffrey Banta: Mark, this is Geoff. And our results have been improving in construction from an experience standpoint. And we're also that's our -- that's the one governing class group where we're growing the most. Or at least we grew the most in the third quarter and year-to-date. There's plenty of room for construction. Seems to be on the uptick, and we're going to take advantage of that as long as we can -- as long as we can -- as long as we can get the price we want. But that is our fastest growing governing class code right now. 
C. Bradley: We're seeing an expansion of exposures in there too, Mark. It's not just rate. We're seeing greater work activity in the construction area. And roofing has been -- isn't that right, Geoff? Roofing has been one that has grown pretty remarkably. So you get a rate and you get more exposures, more units. I think also, we've seen some growth in services as well,  another form of our business as well as the trucking. 
Geoffrey Banta: And Mark, I don't know if you were alluding to anything related to the recent tragic events in the Northeast. But as you probably know, we do provide coverage in Pennsylvania, Maryland, Delaware, Virginia. And so in some of those surrounding areas that may have not been impacted as much, we do not provide, we are not even filed in New Jersey and Connecticut. And we have no rates and forms in New York. So to see a big uptick from, let's say, some of our construction insureds or roofing insureds move into those areas to try to help in the rebuilding that wouldn't have a huge impact on our business. I don't know if that was implied in your question or not? 
Mark Hughes: I was curious though, I was interested in the underlying momentum which seems like it's been building by... 
Geoffrey Banta: Very healthy. 
Mark Hughes: Any account. Renewal rights deals, do you see many of those? Have those -- has there been an increase in that activity? Is that something you are pursuing actively? 
Geoffrey Banta: Yes, we are seeing a number of those. And that's an increase from before where we were seeing suggestions of acquiring the corpus of companies. But as companies reduce their interest in workers' comp, they usually have a book of business they want to perhaps offload. But we are pursuing them, I can tell you that -- it's one of those things that's difficult. We would like to see the renewal rights things, transactions come our way, but we -- we're not going to get away from the severity-driven business. We're not going to get away from  businesses in areas where we can service them. Geographic expansion, while possible, is not a primary strategy. It is more of a secondary strategy. And increasing market penetration in the states where we currently do business is the primary strategy. But we have seen a number of those, some we haven't been successful with, so you can read into that, that we did make efforts. But we still are seeing submissions even from those that we were not successful with. Where agents -- there are not a lot of folks that write high hazard business. And there's even a few of them as we go forward. 
Mark Hughes: You're waiting for your competitors' corpus to become the corpse and just take the business that way? 
C. Bradley: Your words, not mine. Your words. 
Geoffrey Banta: Happy Halloween. 
Mark Hughes: Yes, the spirit of the holiday. Those are my other questions. Do you have you guys have a bet on next Tuesday, by any chance, Allen and Geoff? 
C. Bradley: We bet it's going to be close. I can't tell you and we've been asked, of course, from time to time what is the aftermath of it. What impact does that  -- have for the worker's comp industry, and I think, that's a subject to great debate and great disagreement, like it seems like everything else is surrounding this election. 
Operator: Our final question's from Mr. Randy Binner of FBR. 
Randy Binner: I guess it's just -- the growth potential seems good, kind of via the, your commentary around the market and construction and perhaps some new renewal right flow. I guess what I would ask is, if I think back to when you're writing more on a hard market, obviously, your premium to surplus' leverage was quite a bit higher. And I guess my question is, you're a high hazard workers' comp company. I wouldn't see any reason in my mind why, if the opportunity came along, you couldn't go up to 1.25 even 1.5. You're a little below 1 now. But is that still true, or would that cause like some hiccup at A.M. Best? Would they pause? Or could you just kind of go right to there from here quickly if you needed to, on the current capital base? 
C. Bradley: Good question. And I appreciate it because it is a very relevant question. Yes, we could go to 1.25, 1.3, 1.4,  perhaps even 1.5. There's -- and we would like to do that. I'll tell you right now, we would like to move to that level of operational leverage. The problem with leverage is that it works both ways. And it's pretty thin when you're at 99.4 combined ratio year-to-date. So we would look to expand our leverage, and we are expanding our leverage. But we would not want to get that far out on the limb unless we were sure that we were profitable. Because if you write at a multiple of 1.5 to 1 and you end up having a 1.10, that leverage works the same way but in the opposite direction. So we do think that's where we're headed in terms of profitability. And we would intend to expand our writings as that profitability improves. 
Randy Binner: Okay, that's helpful. And so I guess my 2 follow ups would be, I think you kind of covered this with Carletti's question. But I mean, it seems like at this point, the '09 to '11 accident year loss ratios that you have up, I mean given that you added a little bit last quarter, you had the commentary around the frequency and severity. I mean, are you to the point now where that's becoming much, much less likely to kind of affect your current calendar year profitability? Is that how we should kind of simplistically walk away from this call that '09 to '11's is less and less in play? 
C. Bradley: Well, I think it's always the older a year is, the more reliable the numbers are. '09 is far more reliable than 2010. 2010 is more reliable than 2011, and 2011 more than 2012. I would tell you, as you walk away here today, that if you want to take, sort of the idea that we're cautiously -- very cautiously optimistic about 2012, that's a fair assumption. Now, we also know that people can do incredibly dangerous things and have incredibly bad outcomes in the business we're in. And with our reinsurance structure, we can feel the impact of that rather quickly. But it is progressing in a positive fashion. And with respect to the prior years, they were very stable, during the third quarter, and our results reflect that. 
Randy Binner: I'm sorry, did you not mention accident year '11 in all of that intentionally or is that ... 
C. Bradley: No, definitely -- I'm sorry, did I skip it? 
Randy Binner: No, I didn't know if the inference was -- that's, that one's probably, still probably the most dangerous, right? 
C. Bradley: It is because of its age. It is the one that would have the greatest volatility other than the obviously the current accident year, which isn't finished yet. But what I was -- let me make it specific. 2011 was stable during the third quarter. It is certainly well within what we would have expected to see. 
Randy Binner: And then the last question I had, I mean, just as far looking at new opportunities, given the rate increases and then the past underwriting experience of people, in the state of California, I mean, does that -- I don't think that's even that interesting in California historically, maybe I'm putting words in your mouth. But it seems like you've kind of watched it wearily. Is California yet another point where you could do something there? 
Geoffrey Banta: Yes, we do look at California and keep a reasonably close eye on it. We do think the situation out there is improving. Although quite frankly, Randy, I'm a little bit perplexed about the latest events. The legislature passed some -- what appears to be some reform in California. There was a pending, I think, a pending rate increase for 12% or thereabouts. And so the regulators chose to not approve that. Now I know in California you can charge whatever rates you want and the carriers are pretty much ignoring whatever the filed position is. But that gives me a little bit of pause in that -- think of it this way from our perspective. Cut the rate now, and we'll give you the reforms in the future. That's not exactly the sort of environment we find very enticing to move into. 
Operator: I'm showing no further questions in the queue at this time. I'll hand the call back to Mr. Bradley for closing remarks. 
C. Bradley: Thank you again, ladies and gentlemen, for joining us this morning. I want to add another point, and that you may have seen our press release yesterday afternoon announcing that our Board of Directors has selected Jared Morris to act as lead director. The decision to create the position of Lead Director was based upon our review of recommended structures, governance structures for companies that have an executive serving as both Chairman and Chief Executive Officer. And of course, that's what AMERISAFE does. For 7 years, Jared has served with distinction on our Board of Directors and has been a longtime Chairman of our Nominating and Corporate Governance Committee. He will be an outstanding Lead Director for this Company and I congratulate him on his selection to serve in that capacity. And then on another personal note, right at the end here, you know that's from past calls that my father's birthday is in November. He is, as always, present in the room. And on Monday, he'll be 93. So happy birthday, dad. With that, thank you very much. 
Operator: Thank you. Ladies and gentlemen, this concludes the conference for today. You may all disconnect, and have a wonderful day.